Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ball Corporation Fourth Quarter Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct the question-and-answer-session. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, January 31, 2019. I would now like to turn the conference over to John Hayes, CEO. Please go ahead.
John Hayes: Great. Thank you, Chris, and good morning everyone. This is Ball Corporation’s conference call regarding the company’s full year and fourth quarter 2018 results. The information provided during this call will contain forward-looking statements, including estimates related to the impact of the U.S. Tax Cuts and Jobs Act. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are in the company’s latest 10-K and in other company SEC filings as well as the company’s news releases. If you don’t already have our third quarter earnings release, it's available on our website at ball.com. Information regarding the use of non-GAAP financial measures may also be found in the Notes section of today’s earnings release. The release also includes a table summarizing business consolidation and other activities, as well as a reconciliation of comparable operating earnings and diluted earnings per share calculations. Now joining me on the call today are Scott Morrison, Senior Vice President and Chief Financial Officer; and Dan Fisher, Senior Vice President and Chief Operating Officer Global Beverage. I’ll provide some introductory remarks, Dan will discuss the Global Beverage packaging performance, Scott will discuss key financial metrics, and then we’ll finish up with some comments on our aerospace business as well as our outlook for the company. 2018 was a strong year for Ball and its shareholders. Strong global demand for our aluminum beverage and aerosol packaging products, growth in our aerospace business and a strong long-term focus on earnings and cash flow performance allowed us to return approximately $850 million to our shareholders, which was well above our original expectations dating back to 2016. Our fourth quarter results were slightly below in our own expectations due to some transitory issues in our North America and Central America beverage segment that Dan Fisher will comment on. Yet as we look forward, we like the position we’re in. We have good momentum in terms of our volume growth. We’ll begin to reap in earnest the footprint activities that we have implemented and largely completed. We have a clear line of sight to achieve the $2 billion in EBITDA and $1 billion in free cash flow that we set out as a target in 2016, we just need to execute. And all of our free cash flow will be returned to our shareholders in the form of dividends and share repurchases. During 2018, we continued to actively adjust our overall manufacturing footprint. And since we closed on Rexam acquisition, we’ve rationalized eight facilities globally with four in the U.S., two in Brazil and one each in Germany and in Italy. We started up three state-of-the-art beverage can facilities in Arizona, Spain and our joint venture in Panama to cost effectively meet growing demand in these regions. We’ve installed or are installing additional specialty can capacity with new lines in our existing facilities in Argentina, Chile, Switzerland, Serbia, Texas and Mexico in addition to a number of other smaller speed-up projects. We’ve grown our aerospace backlog 26% to over $2.2 billion, while also growing headcount by over 35% to approximately 3,700 people and the company continues to expand our aerospace infrastructure to meet growth of this important segment. We’ve divested our U.S. steel, food and aerosol business into a 49% owned joint venture and realized approximately $600 million in cash. And we announced the sale or Chinese beverage can business. As we look more deeply into 2019, we are on the cusp of achieving better value for our standard beverage can products as the majority of our negotiations for the next 18 months are largely concluded which much of this value to be received beyond 2019. We are well invested to capture global growth for our specialty product portfolio. We are benefiting from the final phase of initial acquisition related cost-out programs. We are embarking on additional efforts to streamline global processes. We are commercializing the sustainability benefits of aluminum packaging to provide our customers solution -- solutions versus environmentally challenged substrates. And we are initiating additional products to further expand our aerospace infrastructure and testing capabilities. As we go forward, we will continue to execute our long-term strategy of growing earnings over time through increasing revenues above our cost growth by focusing on our value over volume strategy in standard containers, driving more mix shift to specialty containers, further developing innovative aluminum packaging products and expanding aerospace all within EVA and return value to shareholders mindset. Ball is uniquely positioned to lead sustainable growth in global aluminum packaging and aerospace, while also continuing to return significant capital to shareholders following the board’s recent $50 million share repurchase authorization as well as achieving the 3.5 year plan we laid out in mid-2016 of comparable EBITDA and free cash flow of $2 billion and $1 billion respectively. Thanks to all of our employees who helped our company achieve these results as well as win numerous customer awards and recognitions including inclusion on the Dow Jones’ Sustainability Index and the recent humbling recognition of being ranked number one on Forbes Magazine’s List of America’s Best Employers for Diversity. All of this is possible because of our people and our culture. We’re proud of our 139 year history and we’ll continue to do what’s best for Ball and shareholders’ long-term success. And with that, I’ll turn it over to Dan.
Daniel Fisher: Thanks John. Our global beverage business comparable operating earnings were up 3% year-over-year on full year global volume growth up 2%, offset somewhat by plant start-up costs, higher freight and the late year plant inefficiencies. Our global teams kept pace with notable growth in Europe, Russia and North America, which at times also created some operational and logistic inefficiencies given an oversold U.S. industry and strong demand in the UK, Nordics and Russia. We left some money on the table in 2018 and with new plants now 80% to 90% up their line curves that should flow through in 2019. Moving to the individual segments, Ball’s North American segment volumes were up 4% in the quarter. New categories led the way with wine, sparkling water, craft and spiked seltzers experiencing double-digit growth. And 2018 was truly a tale of two halves. Demand lagged in the U.S. during the first half as mass beer slowed, while in contrast, other customers struggle to properly gauge consumer demand for new product introductions during the busy summer selling season, ultimately leading to tight supply demand for specialty cans in the second half, leaving little room for air. At the same time, we were experiencing such growth; U.S. aluminum suppliers struggle to provide quality metal to us and this issue wasn’t resolved by year-end 2018, leading to plant network inefficiencies late in the year, resulting in our North American business producing lower than expected results despite strong volume growth. So far this year, the suppliers delivering metal we can run and our plant inefficiencies in the affected plants are improving. In order to ensure that this does not occur again, we have focused our efforts on ensuring that our metal suppliers doing the necessary things to deliver quality metal on time, exploring other metal options despite the aluminum tariff situation and by working with our customers to lay down safety stocks in this seasonally slower part of the year and ahead of what we anticipate will be a very strong year in North America. Given our customers’ current demand profiles, we anticipate selling 2 billion more units in 2019, while also reaping the net $50 million of fixed cost savings following the successful decommissioning of three plants and wrap up of our four line specialty point in Goodyear, Arizona. Turning to our South American segment, as expected, our Brazilian volumes were flat versus the industry being up 6% in the fourth quarter. Ball’s 2017 decision to forego some can business in Brazil and the completion of the INS manufacturing contract required as part of the Rexam transaction lead to lower fourth quarter and full year earnings. Looking forward, this second half 2018 trend will continue in first half of 2019 until we anniversary these items. Overall the South American industry trends remained strong with cans being the favorite package in the beer, tea, energy and hard alcohol categories. Our expansions in Argentina, Paraguay and Chile are on track and we are excited about the can continuing to be embraced by customers and consumers across South America. With these expansions benefiting second half 2019, full year 2019 should be roughly in line with full year 2018 performance. European beverage earnings were up 29% year-over-year in the fourth quarter and 21% for the full year. Volumes increased 10% in the fourth quarter and 8% for the full year. Cans are winning as customers shift their packaged mix away from plastics and into cans. Tailwinds such as this, the new facility in Spain coming on line successfully and the closure of our one line San Martino, Italy facility earlier than planned led to a strong finish in 2018. As we look forward, continued good market growth, the addition of two new lines in Switzerland and Serbia along with several other specialty line conversions scheduled to be brought on line in early 2019, the year-over-year impact of our 2018 G&A improvement and planned cost initiatives will provide further earnings growth and margin expansion in 2019. Turning to EMEA and Asia, the demand environments in Turkey, Egypt and India improved, but were offset by regional volatility and poor operating performance in our Saudi joint venture, which led to meaningfully lower volumes in the region and operating earnings down by more than $20 million year-over-year. And in China, the business remains cash flow positive and Ball continues to actively manage the business ahead -- excuse me, of its sale to ORG, which following regulatory approval should close in the second half of 2019. In summary, global beverage can demand remains robust in our three key regions of North America and Central America, Brazil and Europe. Supply demand for U.S. standard containers in certain specialty sizes is tight and commercial and sustainability initiatives will benefit Ball going forward. Thank you again to all of our teams around the globe. With that, I’ll turn it over to Scott.
Scott Morrison: Thanks Dan. Comparable full year and fourth quarter 2018 earnings were $2.20 and $0.55 respectively. Details are provided in the Notes section of today’s earnings release and additional information will also be provided in our 10-K. Fourth quarter comparable diluted earnings per share reflects solid operational performance across our businesses, a lower effective tax rate than expected and slightly lower corporate costs offset by the sale of our U.S. food, steel food and aerosol business and lower year-over-year performance in North America and South America as Dan just outlined. From an overall cost perspective, our people have been doing a great job with our SG&A as a percentage of sales at an industry leading 4.1% for the full year. Also we mentioned on prior calls the timing of the U.S. steel food and aerosol sale versus the timing of using the proceeds to repurchase shares was slightly dilutive to earnings in the second half of 2018. Net debt ended the year at $6 billion and we anticipate year-end 2019 net debt to remain around $6 billion as we continue to actively buyback stock and pay dividends throughout 2019. Close to 90% of Ball’s balance sheet debt is at fixed rates. And we’ve reached our post-Rexam target leverage levels with net debt to comparable EBITDA at 3.3 times as of year-end, leaving us well positioned in a rising interest rate environment. Our 2018 stock buyback exceeded $700 million and we paid approximately $140 million in dividends. In 2019, we expect to buyback $1 billion of stock and pay roughly a $135 million in dividends. As of yesterday, we have already acquired roughly a $100 million of stock in 2019. Looking forward and including 2018, our plan is to buyback approximately 18% of our outstanding shares by mid-2021 or approximately $1 billion of stock annually in 2019, 2020 and 2021. Once completed, we will have successfully repurchased the 75 million shares issued to execute the Brazilian JV and Rexam acquisitions. As we think about 2019, we continue to expect full year comparable EBITDA of $2 billion and free cash flow in excess of $1 billion after CapEx in the range of $600 million, full year interest expense of approximately $300 million and the full year effective tax rate on comparable earnings will be in the range of 24% for all of 2019 and corporate undistributed should be roughly flat with 2018 levels. By investing in our businesses pursuing bolt-on M&A, repurchasing stock and paying quarterly dividends, we continue to put the cash machine to work for the long-term benefit of our fellow shareholders. With that, I’ll turn it back to you John.
John Hayes: Great. Thanks Scott. In 2018 our aerospace business reported 21% revenue growth and 15% operating earnings growth on solid can performance, partially offset by the start-up and ramp up of many of these new contracts and new hires. As part of this, we welcomed 900 new aerospace employees, of which 42% were diverse hires. Given recent contract wins, we anticipate adding at least another 600 employees over the next 12 months. The entire management team has done a great work to ensure our new people are on-boarded, mentored and trained, our existing people feel part of this success, our facilities are fit and ready for the added throughput and our processes are redesigned and resilient enough for the higher standards expected, all while delivering on our financial commitments. Looking forward, aerospace is poised to grow earnings in the range of 15% in 2019 and with contracted backlog levels exceeding $2.2 billion and our won-not-booked backlog at $4.7 billion, the future looks bright for at least the next three to five years. As a corporation I truly believe we are positioned for long-term sustainable growth. We continue to manage our asset base with an aviated mindset. We are leading more efforts on our sustainability initiatives to ensure our aluminum packages are positioned as the environmental solution for our customers’ brand portfolios and we are supporting the rapid growth of our aerospace business. We’re controlling the things we can control, managing headwinds and leveraging our strong free cash flow to invest for the long-term and consistently return value to shareholders via share buybacks and dividends. We continue to reaffirm our 2019 goals of $2 billion of comparable EBITDA and free cash flow in excess of $1 billion. And in 2019, we look forward to exceeding our long-term 10% to 15% diluted earnings per share growth goal. And with that, Chris, we’re ready for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Anthony Pettinari with Citi. Please go ahead.
Anthony Pettinari: Good morning.
John Hayes: Good morning.
Anthony Pettinari: Yeah. I was wondering if it’s possible to quantify the impact of the supplier issue in North America for 4Q and maybe for 1Q if there is an early view there. And then you spoke about you know step you’re taking to kind of guarantee supply going forward with your suppliers. Do those initiatives -- is that -- does Ball incur costs as a part of those initiatives or just any kind of color you can give there would be helpful?
John Hayes: Sure. In the fourth quarter, as I said in my comments, in first quarter I don’t anticipate any ongoing inefficiencies, this was really marked by late October November. One supplier and it’s a toll relationship with the customer approximately $10 million of the impact is centered around that. Now we are in -- we’re in discussions with this particular supplier and the customer and hope to kind of reconcile that issue and the only issue there was we couldn’t get to the proper accounting treatment in the fourth quarter to recognize the offset.
Daniel Fisher: Yeah. I’d just add on to that. Those are the direct costs and there is many other indirect costs because it force freight rates to be higher because various plants were down as results of that. And so, that’s just the direct cost, but I think it probably had twice the -- double that was for the full impact what happens in the fourth quarter.
Anthony Pettinari: Okay, okay. So it sounds like there is still an impact for out-of-pattern fright in 4Q. I guess same question for 1Q has that kind of dissipated or is there still a freight headwind in 1Q?
John Hayes: No, not ongoing in 1Q. And I guess to answer your other question, it’s we do have people that are certainly supporting the ongoing efforts there, but you’re talking about four to five folks and there’s no ongoing costs by us to help support that initiative.
Anthony Pettinari: Okay, okay. That’s helpful. And then maybe just one quick one for Scott, I’m sorry if I missed this. But for the full year free cash flow guidance is there assumption on working capital embedded in there?
Scott Morrison: There’s not much. We’ve gotten tremendous benefits in the last couple of years. So there is not much benefit expected from working capital on those numbers for $1 billion of cash flow in 2019. It’s really the earnings growth, kind of tax effect the earnings growth and then a couple of hundred million dollars less in CapEx from this year to 2019 gets you to the $1 billion or over $1 billion.
Anthony Pettinari: Understood. I’ll turn it over.
Operator: Our next question comes from the line of George Staphos with Bank of America Merrill Lynch. Please go ahead.
George Staphos: Thank you. Hi everyone. Good morning. Thanks for taking my question and thanks for all the details. I guess -- and congratulations for the year. I guess the first question I had is around growth. And so, in the last quarter we saw some interesting patterns in terms of can shipments and some of the end market data. One of things that we had heard recently is you’re seeing some pick up in beer consumption partly driven by the new labeling as consumers are starting to sort of look at beer versus alternatives. Are you hearing that or not really from your customers? And then relatively in terms of growth, there was a big pick up in can growth in the fourth quarter in non-alcoholic. It would seem that most of that was around the newer beverages categories that you have sighted, but how much of that is also, at least a part of it was, but -- and how much of that do you think is being driven more by sustainability and the shift out-of-plastic to can specifically within North America? And I have a couple of follow ons.
Daniel Fisher: Sure George. This is Dan. And I would say we didn’t see any -- in North America specifically in big beer versus craft beer versus the other beer categories, we didn’t see anything markedly different than can than what we’ve been seeing for the last several years. Craft beer continues to grow, cans continue to win share there. I would say the new alcoholic categories and the new non-alcoholic categories and product launches, those are disproportionately coming up in cans and that we’ve got IRI data and even Euromonitor data that would suggest that that’s a pretty sizeable shift from new product launches even 18 months, 24 months ago.
George Staphos: All right.
Daniel Fisher: We would believe that sustainability influenced. Our customers aren’t telling us that specifically, but everything would indicate. They’re launching new products in specialty can sizes. They’re garnering better price points. And I don’t know why we continue to build on in already huge issue for a couple of large CPG companies by launching new products and PET. So that’s our view is that is a sustainability move. I think it’s fairly significant, but we think that’s got a lot of tailwind for a longer period of time.
George Staphos: Okay. I mean it remains to be seen, but we’re hearing that even the megabeer guys are starting to see some pick-up in demand, we’ll see if it plays out actually or not. In terms of John…
John Hayes: Definitely in other parts of the world, we’re definitely seeing hectoliter expansion for the first in Russia, for the first time in Brazil. And I think they’re putting more dollars behind the promotional and advertising in big beer in North America tailwind to fourth quarter what we’ve seen to start the year, but whether that trend continues and for how long that will be something we’ll keep our eye on.
George Staphos: Okay. Thank you. John if you could repeat again what you were saying about your value over volume efforts, the commercial activity, the progress, I think that you’ve seen so far. I think you mentioned that some percentage, some large percentage of your contract renewals for the next 18 months are largely done. Can you go back over the details that you had in your formal comments and what implications we should be drawing from that to the extent that you can related to our own forecasting entries, forecasting of all results?
John Hayes: Yeah. George as I said, I think I’ll be repeating myself, but the vast majority of our contracts to come due in North America over the next 18 months are largely concluded. And we signed the agreement not necessarily, but we’ve reached commercial agreement and now we’re getting to the documentation thereof. As you know, many of those kind of kick in at the end of 2019 going into 2020 and that’s why I said the majority of the value of that will come after 2019.
George Staphos: Fair enough. Let me leave it there and I’ll turn it over to the rest of the queue. Thank you.
John Hayes: Thank you, George.
Operator: Our next question comes from the line of Scott Gaffner with Barclays. Please go ahead.
Scott Gaffner: Thanks. Good morning. 
John Hayes: Good morning.
Daniel Fisher: Good morning.
Scott Gaffner: I think you said before that your freight transportation costs in the U.S. had flattened out, but when we look at the recovery from 2018 you had fairly significant headwinds on freight costs. Are you able to recover meaningful amounts of that in 2019 based on the current faster mechanisms you have or do you have to wait more until 2019 when you get contract reset?
Scott Morrison: No. Scott, this is Scott Morrison. We have PPI escalators in our contracts specifically in North America that will -- there’s a catch up to it so we’ll catch up with the PPI escalation and we’re seeing moderation of those other headwinds.
Scott Gaffner: Okay. Dan when you mentioned some weakness in Saudi Arabia, I mean I think you said Turkey, Egypt, India all improved, but Saudi was still weak. Is that a new trend or is that just a continuation of the sugar taxes that were put in place or soda taxes that were put in place in Saudi Arabia over the last year or so?
Daniel Fisher: Just, yeah just a continuation of the sugar tax degradation in that area. Everyone else is -- and it’s -- we feel like it’s stabilized in Q4 and starting off on a piece of foot, but just a stabilized environment. We’re not going to see any appreciable uplift in that country or a JV relationship there for a period of time.
John Hayes: Yeah. And Scott, this is John. I’d just -- financially I’d just point out, you can clearly see that in the equity line where that -- you’ll see the negative impact of that. And Dan can provide you more details.
Scott Gaffner: All right. Last one for me just in the prepared remarks you mentioned 2 billion units of volume growth in North America. Can you remind us what the 2018 number of units in North America were? And then on that volume growth, should we assume that most of that is actually coming in specialty versus 12 ounce? Thanks.
John Hayes: Yeah. I think it will continue to be a similar composition from a specialty standard can, probably a little richer on the specialty is those are the new lines that we put in place. We were kind of mid-to-$46 billion approximately in terms of unit volumes sold. So you put two on top of that in North -- Central America.
Scott Gaffner: Okay. Thanks, guys. Good luck in the quarter.
John Hayes: Thank you.
Operator: Our next question comes from the line of Ghansham Panjabi with Baird. Please go ahead.
Matthew Krueger: Hey, good morning. This is actually Matthew Krueger sitting in for Ghansham. How are you doing?
John Hayes: Good.
Daniel Fisher: Good. Thanks.
Matthew Krueger: Good, good. So my first question is can you provide a bridge from the $1.83 billion in EBITDA generated during 2018 to the projected $2 billion for 2019 just in terms of any major puts and takes like volume contribution or cost savings initiatives, et cetera, et cetera? 
John Hayes: Sure, let me take a shot of that. So if you think about aerospace, given their growth, we expect them to be up $30 plus million in EBITDA. So you’re starting at $1.830 billion so that’s 30. North America and Central America, we talked about $50 million of fixed cost savings on a full year basis, 2 billion more units of volume with better mix and the rest is the PPI pick-up that I mentioned earlier and moderation of headwinds. All that toll should be something in the neighborhood of a $125 million on a full year basis. Europe, we’ve been able to --they’ve done a great job of improving their margins year-on-year. We’ll get probably another $40 million of growth in EBITDA from both cost out and volume growth. South America is probably pretty flat and then EMEA and Asia up a little bit. So kind of a slight positive when you combine those together. And then aluminum aerosol or probably can and a little bit of upside in corporate costs. And then you have the absence of the tinplate business for seven months. So all that tolls to a little bit over $2 billion.
Matthew Krueger: That’s very helpful. Thank you. And then just expanding a little bit on the cost savings programs, how should we expect the $50 million in cost savings to flow through the North America business kind of on a quarterly cadence? And then can you detail on any of the other cost savings initiatives that we should expect to impact 2019 region-by-region in a similar fashion?
Scott Morrison: Yeah. I would say in North America, all of the facilities are shuttered and our Goodyear facility is probably closer to 90% through the start-up phase. So absent any kind of marginal cost impact in Q1 as the continued ramp up for our Goodyear facility, you should see that almost on an annualized basis streamline throughout the year, the $50 million.
John Hayes: And then maybe a qualitatively on the other cost initiatives if we go through Europe as Scott and Dan had mentioned, Europe has done a very good job from a cost out within the plant perspective. We have the San Martino that came down towards the end of the year. And we also have a lot of transformation from a G&A perspective. And as Scott alluded to, we’ve done a very nice job overall as a corporation on the G&A and particularly in Europe, so kudos to all of them. I think in South America, we are lapping as Dan said, some headwinds in terms of the INS contract, as well as foregoing some of the business that we were benefiting in the first quarter and even first half of last year, but they’ve done a great job on the cost side. And I think we’re going to have some headwinds year-over-year in the first half of this year, but you’re going to see it reverse in the second half of the year. So I think that’s going well. We talked about EMEA and the issues going on there and there’s a lot of effort and focus and working with our joint venture partner Saudi to right size that business and really participate in the growth of Turkey, Egypt and other places like he said. And then lastly in North America, Scott mentioned -- Scott and Dan mentioned the $50 million. We also have been putting a lot of effort on making sure that from an efficient supply demand point of view that we’re minimizing any of that out-of-pattern freight that we experienced last year.
Matthew Krueger: Great. That’s very helpful. I’ll leave it there. Thanks.
Operator: Our next question comes from the line of Neel Kumar with Morgan Stanley. Please go ahead.
Neel Kumar: Hi, good morning.
John Hayes: Good morning.
Daniel Fisher: Good morning.
Neel Kumar: I was wondering if could you talk about what plants in particular were impacted by the aluminum issue and you still generated 4% volume growth in North America despite the downtime at the affected plants. So how are you able to increase production at your other plants given that they were likely already running at capacity from the oversold industry?
Daniel Fisher: Well we, number one to answer your question, we drew down inventories to do that. We’re not going to go into specifics of what plants were affected, that’s not what we do, but recall that we only have a limited number of metal suppliers. And so, any given -- a metal supplier probably serves multiple plants and you should think about it that way.
Neel Kumar: Okay. That’s helpful. And then in terms of the commercial opportunity you’ve talked in the past about some contract renegotiations in Europe in 2019. Could you give an estimate of what percent of contracts could be up for renegotiation there?
John Hayes: Well, we -- I'm sorry. What year, at the end of 2019, did you say?
Neel Kumar: For the end of 2018 and 2019?
John Hayes: Yeah. Okay. Yeah, approximately a quarter or so of our European volume was renegotiated and we’re pleased with where we are right now.
Neel Kumar: Okay. Thanks.
Operator: Our next question comes from the line of Tyler Langton with JPMorgan. Please go ahead.
Tyler Langton: Good morning. Thank you. I just had a question on European volumes and I guess up 8% this year. Could you just talk a little bit about I guess what was Russia and what was Europe and then just kind of thoughts for this year, as you know it’s tough comps, but I guess you’re still seeing good growth and benefiting from substitution, so just some color there would be great?
Daniel Fisher: Sure. In Russia as you recall had the World Cup and strong summer and benefited from actually some legislative actions in Russia moving away from some larger PET. And so, they grew at approximately 20% for the year. In Central and Eastern Europe we had one customer, large customer that grew nearly 10% that we have a sole supply relationship with. And then we stepped into the new Cabanillas facility, we stepped into a new contract. So in the second half of the year you saw Iberia grow year-over-year north of 10%. That was contractual volume. But you saw solid growth low-to-mid single-digits in the Nordics in the UK and other parts, but the three large areas that really drove our volume were Iberia, Central and Eastern Europe and Russia.
John Hayes: Yeah. Just to add on to that and it gets to an earlier question about the whole sustainability. You know some of the bigger -- what’s perceived is more mature markets. Just to give you context and I think about the UK, I think of France, I think of Germany. In the fourth quarter alone the UK was up 7%, France was up 7.5% and Germany was up around 20% so that is on relatively flat overall liquid consumption. So I think that strength does reinforce our belief around this whole sustainability movement.
Tyler Langton: Got it. Thanks. And then Scott, could you just update us sort of the shared services savings I don’t know if there was sort of lump in sort of the segments when you provided the sort of the EBITDA bridge before, but just what you’re expecting there?
Scott Morrison: That’s really kind of spread everywhere. So there’s some of it shows up in corporate, but some of it shows up in the business. So we don’t really break it down that way, but that’s part of the improvement across the board. When you look at the operations as John mentioned, the cost out that they’ve done in South America and Europe and in North America as well. So it’s kind of spread across the board.
Tyler Langton: Got it. Okay. Thanks so much.
John Hayes: Thanks.
Operator: Our next question comes from the line of Arun Viswanathan with RBC Capital Markets. Please go ahead.
Arun Viswanathan: Right. Thanks for taking the question. You know you guys had talked about kind of 2% to 4% bevcan volume growth over the next little while; obviously there were some issues in Q4 related to metal. But how do you feel about that forecast, any potential upside or downside given some trends in non-12 ounce and maybe you can just give us your view and also tie that in with your regional expectations? Thanks.
Daniel Fisher: Yeah. It’s a great question. I would say my lean would be based on what we saw in the second half of the year, what we saw in Q4 particularly and in conversations with our customers and anticipated forecast going into next year and even through our strap pulling period. There would be reason to believe that we could grow at an accelerated cliff above what we’ve -- kind of historical norm would have been. So, and I think a lot of that is just probability affecting and assessing the impact of sustainability and how fast that will move. That’s the biggest question mark, but we’re certainly excited about it and believe we’ve got more tailwind there than anything else.
John Hayes: Yeah. As Dan had mentioned, just the full year our global volumes were up a little over 2%, but in the fourth quarter they were up 4%. So I think that’s a good proof point in terms of the momentum we’re seeing.
Arun Viswanathan: Appreciate that. And just as a follow up, in Brazil, have you noticed any changes in the market? Have things gotten better or worse and any thoughts around political shifting that would affect that? Thanks.
Daniel Fisher: We’ve been actually reasonably encouraged by the political shift. We know that -- and from an overall market, you have the new entrant, but with the growth rates that are there and I think John’s commented on this historically, it doesn’t take much growth outside a 4%, 5% and the markets start absorbing all the excess capacity that was introduced. So we think heading into 2019 and the plan period here that market is definitely tightening and there is reason to believe that there is margin expansion opportunities going forward.
Arun Viswanathan: Okay, thanks.
Operator: Our next question comes from the line of Brian Maguire with Goldman Sachs. Please go ahead.
Brian Maguire: Hi. Good morning, guys.
Daniel Fisher: Good morning.
John Hayes: Good morning.
Brian Maguire: I just wanted to come back to the comments around the $2 billion can production growth in North America in 2019. Just wondering if you could give a sense of how much of that is just replenishing the inventories you drew down in the quarter due to the aluminum sheet issue. I ask because it seems like the end markets probably aren’t growing that much even with the upsurge we saw in the fourth quarter can shipments in the U.S. were up less than a million this year. So just wondering if that comment is indicative of you guys expecting to take a little bit of market share here in 2019 or are you expecting the market growth rate to kind of meaningfully pick up from where it has been the last couple of years?
Daniel Fisher: Yeah, I would -- good question. I would look at it as -- keep in mind in 2018 we shut our three facilities, we stood up new four line can plant; we added some additional specialty capacity in Conroe all with an eye towards contracting that volume which we have done historically. So there is a piece of this where we’re stepping into increased specialty volume. It’s been contracted; there is good line of sight there. We do think the market is going to grow at an accelerated rate in North America versus what we saw in 2018 largely on the basis of the second half movements and new product introductions. The 2018 versus 2019 for us, we will grow at an accelerated rate versus the market. But again, those are contracted volumes that were initialized by our footprint.
John Hayes: Yeah. And I’d just layer on top of that. Remember over the last some years we’ve put an extremely large focus on specialty. And we can go West Coast to East Coast, North to South and we have a network and footprint that we think is better than any of our peers. And as a result of that, as these new product introductions and the shift from standard containers to specialty, it falls right in the sweet spot of what we’ve been focused on.
Brian Maguire: Okay. I appreciate that. Just as a follow up, this one might be a little bit of an accounting one. But Dan, I think you mentioned the $10 million impact in the fourth quarter from the aluminum issue that there was a toll in customer and there was just some of the accounting didn’t let you recognize maybe offsetting compensation in the quarter. So do you get $10 million back in 2019, is there some kind of pass through or compensation from the customer here?
Daniel Fisher: We have to wait until we resolve the issue and then we’ll let you know.
Brian Maguire: Okay. But anything embedded in the 2019 outlook or the $50 million kind of comment of fixed cost saving, I guess that will be separate, but just anything embedded in the 2019 outlook for that?
Daniel Fisher: No.
Brian Maguire: No? Okay. I appreciate that.
Operator: Our next question comes from the line of Debbie Jones with Deutsche Bank. Please go ahead.
Debbie Jones: Hi. Good morning. I’m going to be the another person asking on the $2 billion can number you threw out there. But could you comment on -- is this really being driven on the specialty side by a couple of customers shifting into specialty or using it or are you seeing this is very broad-based? And then also how much of the growth in 4Q and the number that you’re throwing out for 2019 do you think is related to the sustainability efforts of some to your customers?
Daniel Fisher: Just to parse out the sustainability one, but if we’re -- it could be 1% to 2% of growth in specific markets where this is a bigger issue and it’s more broad, it’s in Western Europe, it’s in the UK and it’s starting to manifest in the U.S. The other question was on specialty and I would just -- Debbie I would reference the fact that in North America we have 800 customers. So it’s across the entire breadth of those customers, it’s not a singular focus of one or two, it’s everyone’s moving.
John Hayes: Yeah. And as -- in the fourth quarter our specialty was up 13% in North America. And when you look it’s everything Dan just said, it was traditional CST, it was spiked seltzer, it was beer, it was energy, it was all new categories, emerging wine, seltzer waters et cetera. So it truly is broad-based.
Debbie Jones: Okay. Thank you. And second question, there has been an announcement of a new can plant in the Europe, I think in Belgium with the new entrant and we’ve received a lot of questions about it. So I wanted to just see if you had any thoughts on it. I do think that the European industry is growing enough to absorb this, but I think investors are a little confused as how to think about it and how it might impact some of the larger players there?
John Hayes: Yeah. Well, I might point out a couple of things. The overall can industry in Europe grew by in the range of 4 billion units or so in 2018. It’s our best understanding that this new entrant is a small one line facility in the Benelux region focused on one customer that’s going to be using standard containers. So you have to put this in context. I do think as we look forward, we’ve -- as Dan had mentioned, we have some new capacity, obviously Spain coming up, but we’ve put some new lines in Serbia as well as Switzerland. And so we’ve been growing. And so we fully anticipate other people that are going to be investing to meet the demands of the market.
Debbie Jones: Okay. Thanks. I’ll turn it over.
Operator: Our next question comes from the line of Edlain Rodriguez with UBS. Please go ahead.
Edlain Rodriguez: Thank you. Good morning, guys.
Daniel Fisher: Good morning.
Edlain Rodriguez: Just one quick one. I mean you seemed pretty confident in achieving your targets for 2019, but when you look at everything that’s going on, like what do you see like the most risk in achieving those targets?
John Hayes: Well, I mean this is John Hayes. Maybe I’ll take this. I think a lot of what Scott Morrison laid out in the bridge is in our control. Obviously we had some metal issues in late 2018; we’re out of our control. We have been very focused on making sure number one the situation getting better; number two, we have sufficient supply; and number three, we’re working on other alternatives longer term so that we have a plan B if something like that were to happen. Obviously this whole sustainability provides big tailwind for us, but if for some reason there is a big dislocation in the demand side of our business around the global that could have an impact. But I will point to the financial crisis of 2008 when our volumes in the worst quarter were down 4%. So we don’t expect that to happen. I think really the biggest risk to us is our ability or inability to execute on what we have in front of us right now.
Edlain Rodriguez: Okay. That makes sense. That’s all I have.
Operator: Our next question comes from the line of Chris -- excuse me, Chip Dillon with Vertical Research Partners. Please go ahead.
Chip Dillon: Yes. Good morning, everyone. I thought I’d be the first one perhaps to ask the question about what your, one of your fastest growing businesses which is aerospace. And you mentioned some pretty large growth initiatives there including the employee growth and I believe you said the income growth of 15% 20 versus 2018. However, it looks like looking at your backlog that we could see either several years of that kind of growth or maybe it could even accelerate in 2020 and 2021. And so, obviously not knowing everything, but just given your current line of sight, what kind of progress do you think we will see in 2020 and 2021 especially given the 30% plus increase in the employee base?
Daniel Fisher: I think the logic you just laid out is sound and we would agree with that with one caveat. Our government, we rely on our government to be operating efficiently and funded effectively and we just have come out of the longest of furlough in the history of the U.S. government there is potentially that going forward. It has not affected us to date, but strategically when you’re running the deficits that we are, something is going to give. That’s why we talk about both funded backlog which is money good and then won-not-booked. And as we said repeatedly over the last six or nine months the won-not-booked we feel good about, but there is some risk to that going forward and that affects the 2020, 2021, 2022 timeframe. And so as we sit here today, the thing I would be focused on the most is about that because the rest of it’s in our control.
Chip Dillon: Got you. Okay. That’s very helpful. And then just quickly, as -- you guys give us great data for example on volumes and periodically you tell us your mix with specialty versus standard. It just seems with especially the categories that are growing that you’re seeing so much more growth now in the specialty area. And I didn’t know like for example, if we took this the 2% companywide growth last year, is it fair to say standard or down, I don’t know mid-single-digits and specialty waiver took that? And just so that we get a better view or sense of what the mix is doing?
John Hayes: Yeah. Chip, I’ll tell you this, our specialty globally grew for the year at around 9% and it’s approximately 39% or 40% of our mix. So when you do the math you can see standard had declined. And that’s why, to Dan’s point, we took out three facilities in North America in 2018. That’s why we closed the San Martino, Italy plant which was a standard container. So we’ve been managing this mixed shift as we go forward. And that’s why we’ve been investing on all these specialty lines.
Chip Dillon: Okay. And last one quickly, as you look out past 2019, you’re giving -- CapEx is coming down, you’ve listed a lot of growth opportunities you wanted to jump on top of. Again, based on your line of sight, is 600 something we would -- you would -- would be a good best guess for 2020 or are there reasons it could go up or down from what you see today?
Daniel Fisher: Yeah. Chip, I would use 600, I think it’s a good proxy. We really -- there is a lot of growth in there, it’s probably up $50 million from where we were six months ago in terms of accelerating things and kind of bringing them to the left to take advantage of some of this growth. I would use that as a decent proxy, but if the sustainability thing really takes off, we could spend more money, but we’re going to do it just like we’ve always done with the mindset of putting capital to work where we’re getting the right returns.
Chip Dillon: Okay. Thank you.
Operator: Our next question comes from the line of Adam Josephson with KeyBanc Capital Markets. Please go ahead.
Adam Josephson: Good morning. Thanks. Thanks everyone. Dan just a couple of questions on the sustainability topic again, I think Brian was asking about your outlook for the U.S. market, it was up 0.6% last year and you’re expecting that to accelerate and you saw the acceleration, particularly in the fourth quarter. Do you tie that directly to this sustainability move that you’re talking about? Is there any other reason why you think shipments meaningfully accelerated in the fourth quarter and that you’re expecting them to accelerate in 2019 versus 2018?
Daniel Fisher: Yeah. It’s a good question. I don’t think I have the answer, but my thesis would be it’s largely because of sustainability. I mean we know that the large CPG players in particular, they don’t have a very attractive mix shift. I mean some of their CEOs were getting beat up pretty good over in Davos a week ago. And the one thing we can point to, Adam, I just keep coming back to new product launches. We’re seeing much more activity in and around innovation from a can perspective and we’re dealing with the marketing groups in the large CPG companies and we are attributing it to in North American, Western Europe, UK, the Nordics to sustainability being a fairly significant driver of that.
John Hayes: Yeah. Just one little proof point, this is on more the alcohol side, but craft beer is our best estimation that for the first time ever cans as a share of the packaged mix is now over 40% in the craft market. Our volumes in craft are still up well in excess of 30% despite overall volume of craft, meaning liquid volume up only about 1%. So that sustainability, we can’t point to any specific fact to tell you that’s the case, but I do think that there is a consumer trend out there that’s much more focused on us.
Adam Josephson: Thanks. And Dan just on Europe, I think you said volume was up 8% for the year if I’m not mistaken and forgive me for missing this. Did you give any expectation for 2019 in terms of European volume? And again, how much of that -- how much of whatever growth you’re expecting would you attribute to that same sustainability movement?
Daniel Fisher: I would think it’s going to be a little off that. I mean keep in mind it was unprecedented weather conditions and a lot of big beer drinking jurisdictions, but you know I could see mid-single digits. And again, I think where we play and where our network is we may grow at a faster rate than the overall market just because of our customer mix, Russia continues to be incredibly strong, we’ll lap our Iberian new contracts and the standup of Cabanillas. But I’d say market -- you know 4% to 5% we could do better. That’s certainly our plan and our hope.
Adam Josephson: Thank you.
Operator: Our next question is from the line of Deanna Stottler with Ball Corporation. Please go ahead. Looks like line has disconnected.
Daniel Fisher: Chris, unless there is any other questions I’d recommend we conclude.
Operator: Okay. We do have one more question in the queue from the line of Mark Wilde with Bank of Montreal. Please go ahead. 
Mark Wilde: Good morning, John. Good morning, Dan.
Daniel Fisher: Good morning.
Mark Wilde: Just curious to come back to Europe, how much capacity do you have or how much could you grow in 2019 just given your capacity base?
Daniel Fisher: Yeah. It’s a good question. We have, as indicated in the prepared comments, we have added a couple of lines one in Serbia that just came on line actually last week, I was over there earlier this week. Another line in Central and Eastern Europe that one is ready to go, we haven’t flipped the switch on. And then ramp up curves in basically in Spain stepping into improved efficiencies there and approved efficiencies across the rest of the jurisdiction.  But we’re certainly tight; we’ve got a couple of pockets of opportunity to continue to grow. But keep in mind, historically we’ve always got speed up opportunities, we’ve got a laundry list of areas where we can spend minimal capital. And we’ve waited for this tailwind and it’s here now. And so we’re not going to miss out on volume opportunities at the right price.
Mark Wilde: Okay. And Dan I’m just curious over in Europe in terms of bottled waters or whatever picking up. I know that you’ve got a lot of people that are interested in looking at the format, but I wonder whether capacity constraints right now make it hard for some of those customers to make a large move. So what kind of conversations are you having, and is there a potential that we could see one or two very large moves over there at some point or do you think it will be just more kind of incremental?
Daniel Fisher: There will absolutely -- yeah, there will absolutely be the opportunity for large moves. The constraint is not necessarily on our end, it would be some of those major customers making filling investments in their infrastructure. So we wouldn’t be the deterrent for those moves. I mean we’re in front of a number of them right now as they’re contemplating shifts. There is an off a lot happening from independent start-ups that are driving that inertia from some of the big CPG players. I do think that that is something that we’re having conversations on, something that we believe will happen. It will probably start at the high end of the water market, but you know depending on what legislation hits and single use water bans that are popping up that conversations happening everywhere now, something will be a catalyst for a major move and we will have enough time hopefully to move into that in a meaningful and a smart way.
Mark Wilde: Okay. And then if I could, Scott, you mentioned the PPI escalators. I’m just curious, PPI I think kind of has been moving up maybe 3%, 3% plus, but you might had a much bigger move in freight cost. So will the PPI really catch you up for freight this year fully?
Scott Morrison: Good morning, Mark. It probably won’t offset the -- if you look back -- kind of probably what timeframe you’re looking back, but if you look back at our incremental freight cost all of 2018, the PPI will offset a large portion of that, but not all.
Mark Wilde: Okay. That’s helpful. Thanks very much. Good luck in 2019.
Scott Morrison: Thanks.
John Hayes: Thank you.
Daniel Fisher: Okay.
John Hayes: Chris, I think we’re concluded. So thank you all for participating. And we look forward to having a successful and productive 2019 and talking to you three months from now. Thanks everyone.
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.